Operator: Good morning, and welcome to the Liberty Oilfield Services’ Fourth Quarter and Full Year 2021 Earnings Conference Call. All participants will be in listen-only mode.  Please note that this event is being recorded. Some of our comments today may include forward-looking statements, reflecting the company’s view about future prospects, revenues, expenses or profits. These matters involve risks and uncertainties that could cause actual results to differ materially from our forward-looking statements. These statements reflect the company’s beliefs based on current conditions that are subject to certain risks and uncertainties that are detailed on the company’s earnings release and other public filings. Our comments today also include non-GAAP financial and operational measures. These non-GAAP measures, including EBITDA, adjusted EBITDA and pre-tax return on capital employed are not a substitute for GAAP measures and may not be comparable to similar measures of other companies. A reconciliation of net income to EBITDA and adjusted EBITDA and the calculation of pre-tax return on capital employed, as discussed on this call are presented in the company’s earnings release, which is available on its website. I’d now like to turn the conference over to Liberty’s CEO, Chris Wright. Please go ahead.
Chris Wright: Good morning, everyone, and thank you for joining us today to discuss our fourth quarter and full year 2021 operational and financial results. In 2021, we focused on the integration of OneStim and its customers into Liberty. In the recent downturn, we acquired OneStim to strengthen our platform and technology portfolio, which positions us well for today’s rising tide and all future cycles. In our 11-year history, we have seen 2 deep downturns, 2015 through 2016 and the recent COVID collapse, and we have executed transformative transactions during both of them. In 2016, at the bottom of the downturn, we invested aggressively, both in acquiring Sanjel’s asset and in upgrading them to Liberty quality. We also launched our breakthrough quite fleet technology in 2016. These investments set the stage for the outsized returns that we reached in the years ahead. Investment decisions at Liberty are always made with a long-term time horizon. Business integrations are always challenging, and this time was exacerbated by COVID-impacted supply chain and difficult labor challenges. However, the OneStim prize was large, and our team worked in overdrive to bring nearly 2,000 new members into Liberty while continuing to deliver superior service performance to all of our customers, both legacy and new. Our top priorities in 2021 were our customers, our team members and then safety of everyone that touches Liberty. 2021 was a record year for Liberty work performed whether measured by revenues, frac stages, pounds of sand pumped, et cetera. We also set many operational records during 2021. Record sand pumped in a day by a single fleet was raised several times, including again in January of 2022. Zero OSHA recordable incidents in our wireline business, and 75 hours of continuous pumping on a plug-and-perf pad. All of this was achieved in challenging times, and executed with our best safety performance ever. We are only going to do this integration once and we are going to do it right to the best of our ability. We were simply not willing to sacrifice customer service, employee satisfaction and safety, each of which is critical to long-term financial success for the sake of short-term financial results. Integration-related costs are still with us today, impacting our bottom line results. However, January was a very significant turning point in moving these cost pressures behind us. We very much like where we sit today. 2021 revenue grew to $2.5 billion and EBITDA was $121 million, both of more than doubling of our 2020 results. But it’s still representative of early cycle conditions. Fourth quarter revenue was $684 million, a 5% sequential increase over third quarter on robust activity, offsetting weather and holiday seasonality. Fourth quarter adjusted EBITDA was $21 million, pushed down by over $20 million of continued integration costs that will soon be behind us. Michael will provide more color on the magnitude and nature of these integration costs. The transformative work our team accomplished in 2021 positions us well as our industry begins in upcycle driven by rapidly tightening markets for oil and gas. 7 years of subdued global investment in upstream oil and gas production is now colliding with record global demand for natural gas and natural gas liquids, and likely record global demand for oil sometime later this year. Oil and gas are central to the global economy, which is well along the way of recovering from the global pandemic. The severe energy crisis that has wracked Europe over the last several months, demonstrates the danger of underinvestment in our industry. E&P customers are responding to the oil and gas price signals. The publics are maintaining tightness of limits that will show only very modest production growth this year. The privates on the other hand are reacting more robustly to strong commodity prices. Within the frac market, 2 years of supply attrition and cannibalization plus limitations from labor shortages, and a secular shift towards next generation frac fleet technologies has led to tightness in the frac space. Liberty has focused on finding the right long-term partnerships for the coming years and we have been very disciplined in holding our frac fleet count steady until returns are strong. We are, however, investing to build truly differential competitive advantages in frac fleet technology, digital systems and logistics optimization, all to enable Liberty to continue our historical track record of well above S&P 500 average returns on capital invested. Competitive advantage is the name of that game. We expect that our investments today will lead to strong returns in the coming years. Let me elaborate a little more about the areas where we are investing today. Frac fleet technology we talked about quite regularly, so I will be brief on that one. Liberty’s focus is to bring the 2 best technologies available Tier IV DGB with automated controls to maximize gas substitution for diesel and Liberty’s digiFrac that will set a new industry bar combining the lowest emissions in the marketplace, together with superior pump performance, reliability and cost efficiency. The modularity of our high thermal efficiency natural gas resist our production systems allows the phase deployment of digiFrac fleets as they are 100% compatible with our existing fleets. digiFrac pumps and gas recip will start deploying into our fract fleet early in Q2. We plan to have at least 2 complete digiFrac fleet operational this year. We display digiFrac at the SPE Frac Conference in Houston last week, and industry interest remains exceptionally high. Repairs and maintenance for frac fleets are both a very large cost driver and absolutely critical to delivering safe high efficiency frac services. Liberty has been a leader in this area. However, integrating new team members from OneStim, who were using different maintenance systems and procedures lead significant inefficiencies during integration. The downsides of this are readily apparent in our compressed margins in the second half of 2021. But this is also an area for huge improvement going forward, bringing together legacy Liberty technologies with OneStim plus the combined team’s ongoing development efforts will dramatically improve our performance. The early stages of that are already visible in January results. Success in R&M is controlled by teamwork across operators, supervisors and mechanics and also by processes, technology and parts. We have enhanced our continuous equipment monitoring program with additional sensors that help reduced premature failures and guide optimal preventative maintenance. We are just introducing a virtual equipment digital twin model for each frac pump that helps drive minimum cost of ownership for each and every pump, increased data and reporting across all Liberty crews is empowering everyone to take ownership of their work. We’ve already seen meaningful improvements. Although, we are not back to our historical rates yet, of course, our goal is to perform across the whole company at levels well above our historical level. We are also launching an in-house Logistics Management Center that has built around large scale upgrades to our current profit planning execution model. The recent sand bottleneck challenges in the Permian Basin, both of sand availability and last mile transportation highlight the importance of this initiative. We’ve already begun the integration of our PropX’s PropConnect software into our Oracle transportation management system to further modernize last mile delivery, enable our driver quick pay initiative and bring significant improvement to route optimization. Like repairs and maintenance, sand and logistics represent both a large spend, and critical link and the chain of operational efficiency and safety. Liberty’s expanded team and technologies with the addition of PropX should drive large improvements in efficiency, safety and cost. Our forecasting PropX and quick pay initiatives should help attract the best trucking partners and long-term loyalty. Liberty legacy is developing and deploying technologies that help maximize returns for our customers, and hence, mutually beneficial long-term partnerships. Wet sand handling is at the forefront of disruptive technology in the processing and delivery of sand, and we’re excited about the work we are doing at PropX. This ESG-friendly solution removes the need to dry sand at the mine, thereby removing the highest emitting step in the processing of sand. It further enables smaller scale, localized wet sand mines to carry a smaller footprint by moving mining operations closer the wellhead. PropX already has multiple active contracts in 2022 to support mini mines that lower the total delivery cost of sand and meaningfully reduce environmental impact by eliminating the drying process and perhaps biggest of all reducing trucking needs. We estimate that a 10-mile distance from a local mine to the pad could reduce trucking requirements by over 70% when compared to an 80 mile haul. This is game changing in key basins. Let me touch on our outlook. We expect high-single-digit revenue growth sequentially in the first quarter and significant growth in our margins as integration costs start to fade away. We are benefiting from increased pricing in 2022, driven by a pass-through of inflationary costs and higher net service pricing. We expect continued rises in frac pricing in subsequent quarters. We also expect margin growth as our new strategic efforts begin to pay dividends in lowering our cost of operations and increasing efficiency. We are excited about the opportunity ahead. We’ve a macro tailwind together with high quality customers eager to improve their operations and ESG profiles. Every day we ask ourselves, how can we deliver a value proposition? That is compelling for our shareholders and customers through commodity cycles. With that, I’ll turn the call over to Michael to discuss our financial results in more detail.
Michael Stock: Good morning. As we discuss our results in detail and look for the future. I find that it’s always good to view them through the lens of how we manage the date, focus on shareholder returns through the cycle. At the bottom of the cycle, we look for the opportunity to invest to create maximum benefit from a longer runway to capture returns. The  is an organic growth company, but we are always looking at potential opportunistic acquisitions, especially with a technology benefit that increases the competitive advantage. And the COVID downturn, we found 2 unique opportunities, the acquisitions of OneStim and PropX. OneStim that was becoming the second largest completion sales provider with the scale and breadth technology that positions us to navigate through the next decade. In our first year with OneStim revenue increased 156% to $2.5 billion from $966 million in 2020. We added new basins and complementary sand and wireline businesses, expanded on Liberty’s already strong customer relationships, and added historical OneStim customers to the family, introducing them to those of any difference. This expansion and integration was executed during the pandemic and unprecedented supply chain disruptions. There’s a cost to build this platform that will use to expand long-term shareholder returns that have negative effects over 2021 financial results. Net loss for the year totaled $187 million or $1.03 per fully diluted share. Full year adjusted EBITDA was $121 million, compared to an adjusted EBITDA was $58 million in 2020. The cost of integration wants the businesses that we acquired start of the year, it was amplified by supply chain and labor constraints, and the impact of legacy once them fixed customer contracts, fixed price customer contracts that would definitely good for margins in inflationary environment. We estimate higher equipment costs, legacy costs from third-party management sand mines, and carrying costs of vital equipment negatively impacted full year results by 150 to 200 basis points. We also moved all of that legacy once improved into schedule and initiative the true support for the culture and employee engagement and advances our premium service offering over the long-term that was completed at a time when we were managing through a weak price environment, unfavorable legacy contracts and integration efficiencies. In the fourth quarter of 2021, revenue was $684 million, a 5% increase from $654 million in the third quarter, while stands out here to be grew at top-line despite seasonal weather and all that impacts almost every basin saw an uptick in business, at that crews achieved a high level efficiency offsetting seasonal headwinds, with our team’s ability to grow their businesses. Their crews for keeping our operations efficient while handling the integration. Net loss after tax was $57 million in the fourth quarter compared to $39 million loss in the third quarter. Fully diluted net loss per share was $0.31 for the fourth quarter compared to $0.22 loss in the third quarter. Results included $7.6 million of non-recurring expenses, including transaction severance and other costs of $3 million. Fleet Startup lay down costs of $2.8 million and a loss of disposal assets of $1.9 million. General and administrative expenses totaled $35 million, including non-cash stock based compensation of $3.6 million. Net interest and other associated fees totaled $4.1 million. Fourth quarter adjusted EBITDA was $20.6 million compared to $32 million in the third quarter, reflecting the full base of integration, supply chain cost inflation and moving our operations into the schedule. In the fourth quarter, we estimate integration costs including the elevated parts replacements, primary on legacy OneStim equipment reduced margins by over 200 basis points in the fourth quarter. The good news is we instituted measures in October the Christmas criteria that already showed improvement in December and continued further into January. We also moved our final crews return to schedule, which similarly impacted EBITDA by adding an additional shift to legacy wants them frac and wireline. Future dynamics with hand in hand by fostering a better work life balance, this drive increased level of engagement and translates into greater efficiency, better care for our customers and our equipment. The change in historical superior efficiency utilization levels of 2022 will support the returns on the investment moving the crew still to be scheduled. Over the past few months, we’ve also put our contracts under the lens to assess opportunities for improvements, but us – and our customers. We inherited some contracts with largely fixed pricing, which in a rising inflationary environment brings into the drag on margin. And in some cases, we’re generating losses on our bottom line as progressed. For instance, one customer accounted for a $5 million EBITDA drag in the fourth quarter due to a legacy OneStim contracts did not reset in underlying inflation, or additional cost of higher designs on equipment made. However, it’s been a great opportunity for both us and our customers, to have a collaborative engaged dialogue, how we all do things better. We put our sales, engineering, operations, supply chain and finance teams together to work alongside their customer to find way to recalibrate operations that ultimately lead to a win-win for both parties. The end of the year with a cash balance of $20 million and net debt of $102 million; at year end, we had $18 million of borrowers on the ABL credit facility. Total liquidity, including availability under the credit facility was $269 million. Net capital expenditures totaled $174 million on a GAAP basis in 2021 to partially offset their capital investment of next-generation equipment for the upcoming cycle with the planned sale of assets. We were able to catch a $25 million of synergies from asset sales primarily related to monetizing of legacy OneStim assets that were not caught by our operations. Gross capital expenditures were $199 million, consisting of $140 million maintenance CapEx approximately $20 million of digitization, and approximately $40 million of Tier IV DGB upgrade and digiFrac and other investments in technology. But the majority of the heavy lifting of integration providers, we’re excited by the opportunity here. For the first quarter of 2022, we’re expecting strong sequential improvements on higher service prices and activity, and lower integration related costs. Frac fleet prices have been increasing meaningfully and with the much of the change here in EBITDA in January. The customers are understanding that the   environment coupled with the roll off of pandemic discounts   required high service prices to meet those costs, and more importantly, to restore reasonable returns. Pricing is still below pre-pandemic levels, but moving in the right direction. We also had to anticipate better utilization in Q1 following the fourth quarter seasonality impacts. Lastly, the combination of maintenance logistics agents with frac fleet, overall that tailwind to the months ahead. We see 2022 is an ideal opportunity to reinvest in the early part of the cycle to maximize free cash flow over the side. In 2022 capital expenditures are targeted to be in the range of $300 million to $350 million with the optionality to adjust with the year. At the midpoint of this range includes maintenance capital of approximately $130 million for frac, wireline and sand. Next generation technology investments including digiFrac with pad generation systems, customer demand driven Tier IV DGB upgrades with sand handling technology and other mines generating engagement is projected to be approximately $225 million. This is offset by approximately $30 million facilities rationalizing our equipment and footprint with legacy once to pass it. We have significantly both in adjusting our capital spending targets depending on customer demand and returns expectations. And we plan to be free cash flow positive 2022 by investing in long-term competitive advantage. Looking forward, we’re excited for the coming years, as we move forward a robust side. We enter 2022 with a sustained focus on technology innovation, and investing to build a truly differentiated business with a competitively advantage portfolio. This is foundational recommitment to a value proposition designed to reward shareholders and stakeholders alive through the site. I’ll hand the call back to Chris for closing remarks before we take your questions.
Chris Wright: The under investment in oil and gas over the last 7 years is starting to fight. Most prominently, we see this via the energy crisis in Europe that is also making for significant challenges in Asia. Global LNG prices are so high right now that many fertilizer plants sit idle. This is not good. Fertilizer prices are elevated and this bring we will see many fields with reduced fertilization, which inevitably leads to reduced crop yields, and further pressure on basic foodstuff later this year. Society cannot thrive without a robust energy supplies. Yes, the last decade has seen a disproportionate amount of the shale revolution gains going to energy consumers. We can and should be proud of the benefits global consumers have read. But our industry, the last 10 years have brought more pain than gained, but that pendulum is swinging hard now. The industry is poised for years of strong returns, especially for the leaders and those that remain focus on winning in the long-term. Operator, we are now ready to take questions.
Operator: We will now begin the question-and-answer session.  First question comes from Arun Jayaram from JPMorgan Chase. Please go ahead.
Arun Jayaram: Yeah, good morning. My first question is I wanted to see if we could – walk through how you think the margin progression will be in 2022? If we add back some of the integration expenses that you outlined in the press release, your 4Q EBITDA margins would been in the 6% range. And not to – in some of your peers who provided color on 4Q are probably in the low-double-digit range and now you’re still dealing with some integration things? But I’m just wondering if you could help us think about how you think your EBITDA margins could trend this year, and maybe give us a little bit of color of the turn you saw in January.
Michael Stock: Definitely, Arun. I think, as we move forward, we will see a roll off of the integration costs through Q1, there’ll be sort of relatively low by the – we expect by the early part of Q2. To see margins improve as we will set them through Q1, Q2 and is more price increases as we go into the second half. So, yeah, I expect the margins to get back to sort of a stature and increase we go through the year.
Arun Jayaram: Any more color, Michael, on just thoughts on percentages, do you expect to be in the double-digits as an EBITDA margin this year?
Michael Stock: Yes.
Arun Jayaram: Okay. Okay. Fair enough. And then just my follow-up on capital, you guys released an updated view of $300 million to $350 million for capital. I think I heard you $225 million of growth and $130 million or so are maintenance. Can you provide us a little bit more details on the growth CapEx, I assume that, some of that is the digiFrac fleets, but just give us a little bit of a color on your growth CapEx plan this year?
Michael Stock: Correct. By far the largest side of the base is the digiFrac fleets that are under contract to customers. We have some completions in the first half of this year, which is going to be Tier IV DGB upgrades, numbers of those customers that are upgrade Tier IV with us incremental margins and returns that they will provide the candidates itself on the growth side is going to be front-end weighted, if you look into bottlenecks. I’d say it’s probably significantly front-end weighted on the year. And we’ll adjust as we go through for returns and look at clients, and returns for any additional commitments that digiFrac they want to make.
Chris Wright: When we see growth, this is an incremental frac fleet, this is really growth in margin. These are incremental upgraded products, things that drive better efficiency, things that committed premium from customers. So growth doesn’t mean new frac fleet, it means new technology to build our competitive advantage.
Arun Jayaram: Great. Thanks for clarifying. Appreciate it.
Operator: Thank you. Our next question comes from Ian MacPherson with Piper Sandler. Please go ahead.
Ian MacPherson: Thanks. Good morning, Chris and Michael.
Chris Wright: Good morning.
Ian MacPherson: If we’re solving for full year EBITDA from your free cash flow and CapEx guidance and other pieces on the edges. Do you get to that level of EBITDA growth on what kind of activity expansion we did see that you had some fleet startup cost itemized in Q4, which you had a pretty flat fleet cadence throughout most of last year. Is that – is the plan to ramp up into the mid or exit the year in the high-30s of active fleets? Or could you talk to that as a component of the outlook?
Michael Stock: The Q4 startup cost was actually reactivating one fleet in the  , so that was that one addition. At the moment, the plan is to, say, we’re still staying relatively modest on fleet visions with the upgrades and driving – the idea being to drive significant extra margin at this specific point in time.
Ian MacPherson: Okay. So the framework you’ve got it does not really assume a great degree of net fleet growth activity year-over-year. Is that – did I heard that correctly?
Michael Stock: That’s right. That is on the base framework for the year. That’s obvious…
Ian MacPherson: Okay, that’s helpful. Thanks. My other question. We’re hearing from everywhere that that the pricing surge in frac has become broader and it’s encompassing the full spectrum of assets even conventional tier 2 pricing is moving along with everything else. Given that, I assume there’s also probably a surge in customer appetite to engage in longer-term contract agreements. Can you speak to your appetite on that side of the commercial framework, and if you’re at – the getting to the point now on leading edge pricing, we’re willing to lock in longer term agreements, apart from what you’re doing on digiFrac?
Chris Wright: This is Chris. And that is true. Look, the customer demand today is strong. And with the attrition of supply over the last 2 years, even at the start of this year, we have a pretty tight frac market. So for us, it’s the contract matter, but it’s far more than just contracts, right, counterparty matters hugely. Who is your partner? Who are you committing long-term you partnership with? But your point is absolutely correct. There are people that are keen to make sure their needs are met, keen to have the right partner, and we are entering into some longer-term contracts. And some of those as you implied as well are not for next generation equipment.
Ian MacPherson: Interesting. Thank you, Chris. I’ll pass it over.
Chris Wright: You bet. Thank you.
Michael Stock: Thank you, Ian.
Operator: Thank you. And our next question comes from Neil Mehta with Goldman Sachs. Please go ahead.
Neil Mehta: Good morning, team. And thanks for the comments. The first question is really on the expense side? And can you help us understand what happened in the quarter and what the $20 million was specifically used for as you talk about integration costs? I’m guessing a lot of that was about securing and compensating labor. And how much of that carries forward versus is one-time in nature, because it’s been a couple quarters now where we’ve seen costs surprise us to the upside?
Michael Stock: Yeah, thank you. No problem. All that $20 million that you’re discussing in Q4, actually, probably about 3 quarters was related around equipment. If we step back a little bit through the beginning of the integration, we moved the OneStim team in under the form of the umbrella in Q2. And then you’re definitely got some integration issues with changing the maintenance systems, changing systems how everybody works together, and the integration side of the problem. The cost of that generally turns up about 6 months later, the cost of running equipment, right? So you’re not changing valves or sieves quick enough, so that here and the historical ones, you’ve done business. So the slide of those cause really started tuning up into the kind of September in the time – September, October, November timeframe. And as we got through the summer, and integration got smoother, we’re starting to see those numbers roll off in December and January, right? So I think that slide up of equipment costs, but a good chunk of that. There is also a significant amount of the cost for schedule over and above that was running through Q4 that is definitely going to continue on into next year. But the difference of that is now that those teams almost two-in-two, and contracts are resetting and the efficiency of the way those teams are working together, getting back on board was traditional Liberty efficiency, and those couple of conflicts are receding. We’re going to get a return on an extra  . The personnel engagement was a big drag on the second half year cost structure, and then we’ll provide returns as we go through into this year. So yeah, I think we’ll see the full effect of all those personnel costs in – most of them was in Q4, and now that becomes part of our current run rates. But contracts have reshaped efficiency rates to support them. So I think that’s where that is, we’ll start to see the R&M, the slog of cost that relates to some of the longer lives. So the older Slumber J equipment that was delivered to us, and the way that was drawn, which is a drag on cost structure, especially in the latter part of the fall, and early part of it.
Neil Mehta: That just says we calibrate our models, if we saw $20 million in the fourth quarter, is it fair to say, assume there’s going to be minimal impact here in the first quarter has released integration?
Michael Stock: In regards to integration, we’re still going to have some costs. As we see here, some of the effects, if some costs of some lease equipment that passed out from some Slumber J there is no use that that will still stay on the lease costs. That’ll be in the sort of $1 million to $3 million at quarter end. And we’ll still see some wastages of that equipment costs run in Q1 as well. So, yeah, that’s where I think you’re going to see an incremental improvement in margins in Q1, and then another step change in Q2.
Neil Mehta: Thanks, Michael. And the follow-up is, and this is one that might be tough to opine on, but obviously, Slumber J owns a substantial amount of the shares. And we’ve seen them start to make movements around monetization. You guys have a really strong balance sheet recognizing there’s some calls on free cash flow in the near term, is there anything you can do to offset potential technical pressure to the extent that they do elect to monetize their positions?
Chris Wright: Yeah, Neil. Good. Capital allocation is certainly a big issue and a central issue here. But, we’re always evaluating all the tradeoffs and decisions made there. And certainly – yeah, certainly won’t provide any guidance or comment on it. But I certainly know what you’re hinting at. And I can come in as well, look, we feel very comfortable about the decisions we’ve made in progressing through this integration. And we’re quite pleased with where we sit today. Do we wish we had a better crystal ball and been further ahead in seeing the cost impact of some of those decisions? Yes. We have been the confidence in us over the last few months? Yes. Would we do anything different in the long-term decisions? No.
Neil Mehta: Thanks a lot, Chris. Appreciate it.
Chris Wright: Thanks, Neil.
Operator: Thank you. Next question, Chase Mulvehill with Bank of America. Please go ahead.
Chase Mulvehill: Good morning, everybody.
Chris Wright: Hey, Chase.
Chase Mulvehill: Hi. So, I guess first question, obviously, you’ve got sand in the portfolio today. We’ve heard of sand tightness in the fourth quarter and continuing into this year, sand prices are $40 a tonne or so, kind of what we’re hearing in the Permian Basin? So, I guess, maybe can you talk to how much sand you’re selling externally or using internally, and the tightness of sand and how that’s impacting your business?
Ron Gusek: Hey, this is Ron. Yeah, I’ll certainly delve into that a little bit. I think from our standpoint, we went into the sand business, obviously, recognizing there was a real benefit for Liberty in having those couple of mines available to us. And so yes, some amount of that capacity is dedicated specifically to Liberty fleets, and the support of our customers for we are working. But some amount of that sand on those mines still remain sold directly to customers that that may not have a Liberty fleet working for them. So we have relationships on both sides of that and expect that to continue going forward. That says having that capacity available to us has provided us maybe some additional support we might not have had in the past relying solely on third parties. So I think it’s provided us a little more flexibility in terms of how we’ve been able to manage our supply chain through these challenges. We still have a number of great third-party providers, partners that have been partners of ours for a long, long time on the sand supply side. And I don’t expect that to change. We – those strong relationships are critical to us, multiple legs on a stool make for the best stability. So that’s the way we continue to look at it.
Chase Mulvehill: Okay, perfect. And follow-up here. I’m not sure that I’m going to get very far with this, but I’m going to try. But if we look at the fleet level profitability, and look at and it split the fleets between OneStim and legacy Liberty fleets. I guess, first, is there a difference in profitability if you get and look at the averages between the two? And if there is in OneStim profitability is lower? Can you tell us kind of what are the action items that you need to take to improve the OneStim profitability?
Chris Wright: Yeah, Chase, something I’ll take this one on this. Yeah, I think we look back to last year, yeah, there was a difference. And really, a lot of that was legacy contracts. You’ve got to remember we closed this deal on December 31, right? So this season for this year Liberty and Schlumberger Liberty against each other the deal has been announced. And so, the Schlumberger team, we’re sort of really had to fill up work with one hand tied behind the back, obviously, the sales couldn’t talk, we couldn’t appear not, right? And, obviously, the customers knew that they were being subsumed by Liberty. So I think those contracts were the biggest drag not necessarily the fleets themselves, right? The cost of operations due to the factors of deferred maintenance and then when we look back in the rearview mirror was higher on those legacy blue fleets fairly significantly. And I think part of that was the green tech status they came with, they came with high air, high hours and high usage numbers, right? So I think between the capitalized maintenance and the cost of operations or maintenance was higher on blue versus red last year. I really don’t – that’s not something that we would expect going forward, as we get through the middle part of this year and going forward. That slide of costs that relate to sort of the fact that there was a year and a half that they were the sale was deferred maintenance, and it had to be green tech. But there’s a level of where Liberty had done the historical maintenance, we were having our fleets ready to go versus when you’re transferring fleets into it into a new owner. So, yeah, there was a cost drive drag as well to last year. So as we go forward, though, we don’t expect to really see that difference, and driven by technology.
Michael Stock: Got it. Got it. All makes sense. Thanks, Michael. Thanks, Ron. I’ll turn it back over.
Operator: Thank you. And the next question, Scott Gruber of Citig. Please go ahead.
Scott Gruber: Yes, good morning.
Chris Wright: Good morning, Scott.
Scott Gruber: So question on the pricing traction, we’re in similar anecdotes of broadening of pricing improvement. The rate of change one the legacy tier 2 equipment, is that now moving at a similar pace to what we’ve seen today on ESG-friendly? Or is that still lagging in terms of kind of rate of change?
Chris Wright: Right now, I think it rate of change is moving at a similar pace or still that significant Delta across the portfolio. But yes, all types of fleets have moved up meaningfully.
Scott Gruber: Got you. And then, at the current pricing, what type of payback would you expect on the DGB fleet?
Chris Wright: It’s relative – it’s quick, I don’t know if we want to give any more colors than that. But we have been about for our whole history win-win deals, we can bring something better to our customers that achieves it objectives for them that they save money just from displacing diesel with natural gas, as well as getting lower emissions. And we deploy capital, and we get strong returns on that deploy capital. And we also bring technology to that, to get higher substitution rates and safer substitution of processing and burning gas on location.
Michael Stock: I have a little bit of that one, say, we look at the lens of all of our investments. If you look at historical results, right, we’ve averaged better returns than the average of the S&P 500. And for cyclical industry, you need to provide those returns to provide the values to shareholders, and every new technology vision, we look through that lens and aim at that same target or better of what we’ve historically done. So I think that’s the key thing with it, whether it’s a Tier IV DGB upgrade, a digiFrac, or investment a new vision of ion control systems, et cetera. They all go through the same lens of financial return metrics of what I need for one.
Scott Gruber: Got it. And then just a quick one, again, if you think about kind of the EBITDA to free cash conversion, anything to note on the working capital line, Michael?
Michael Stock: No, I think, working capital as we go through, we’re going to see growth in the top-line and expansion of mines. But obviously, with growth in the top line, that will be a slight headwind, there’ll be a useful with it. Again, really working capital generally moves in conjunction with revenue top-line growth.
Scott Gruber: Should we expect kind of static days or improvement in days?
Michael Stock: Yeah, I don’t know about – Scott, I think, generally days have been relatively similar for the last 5 years. But on a quarterly basis, they can move around, depending on where customers are, but generally standard days. The only other big mover, there is probably the accrued CapEx funding anything CapEx wise, that we received like at the end of the quarter, you can move your payables numbers to the GAAP . So that’s where you would read the balance sheet every day. So we’ve received a large number of sort of like cash generation equipment on the last week of March, they won’t have been paid yet. And there’ll be a sort of a bump up of the  . So they can move around $30 million, $40 million, every quarter, easily. So that will never change for the actual business.
Scott Gruber: Got it. Appreciate the color. Thank you.
Michael Stock: Thanks, Scott.
Operator: Thank you. And next question comes from Waqar Syed, ATB Capital Markets. Please go ahead.
Waqar Syed: Thank you for taking my question. Mike…
Michael Stock: Good morning.
Waqar Syed: Yeah, in terms of the normalized margins, could you could you provide some guidance on the timing of that? When do you expect to achieve that? And given all the price increases that you’re seeing in the strength in the market? Do you see that timeline to achieve normalized margins move forward or is it still kind of the same level as previous guidance?
Michael Stock: It’s similar through this guidance, I think you’re going to see the additional cost roll off in the first half of this year. And getting back to more normalized margins as we get to the second half of the year. Again, if you think about the integration sort of an 18 month process, right? I think, they will be running out of the system by 2H.
Waqar Syed: Okay. And then, just a broader macro question. Would you guys care to comment on the supply demand dynamics? How many fleets are currently working in the U.S. and Canada? And what do you see the demand is and what do you expect the trend to be in the coming quarters in terms of demand?
Michael Stock: Sure, Waqar, I’ll do that. So we have an internal bottom up frac fleet count. We haven’t shared the detailed numbers of it yet, but it spent a great new thing for us to know what’s going on across all the bases. And it’s a trailing count – and count up to today, and also includes a projection for what customer dialogues are and what plans are. So in random numbers, I’ll take frac fleet active right now is in the low 200s, but meaningfully over 200. At that frac fleet level of activity that leads to production growth, production growth in natural gas, production growth in oil, production growth in NGLs, not monstrous, but meaningful. And from the plans we know of today, there’s probably another 10% growth in active frac fleet from where we are today to where we’ll late this year. So it’s not huge upward pressure, in practice, new fleets going to work, but it’s meaningful. And when you go into an already relatively tight market, the pricing impact of that little will be not insignificant.
Waqar Syed: But the industry itself is adding some new capacity as well including yourself, do you think that that Delta incremental demand is being met by the internal incremental supply that’s being added?
Chris Wright: So those are probably of similar magnitudes. But the offsetting thing is that no new fleet does not mean the frac fleet count is static even putting an optimistic Liberty running up an asset may be you’ve got a 10 year asset. So 10% of that capacity is going to disappear every year. So the frac fleet additions we have this year, they’re probably order offsetting the shrinkage of the frac fleet, making not even offsetting, probably not even offsetting the shrinkage of the frac fleet. So you still have a late year where demand is higher than it is today. And capacity is probably flat at best, maybe down a little bit.
Waqar Syed: Interesting. And just one final thing, any commentary on the Canadian market?
Chris Wright: We love Canada and Canadians like Ron…
Ron Gusek: I don’t think anything just similar to what Chris’s comments were from a broad field standpoint. I think we remain optimistic in the Canadian market as well. I think we’re going to see growth in frac fleet demand up there, and supportive market conditions. And I think you’ve probably heard that from our peers up there as well. So, yeah, we remain excited about the outlook north of the $49 million as well.
Waqar Syed: Thank you very much. Thanks, guys.
Chris Wright: Thanks, Waqar.
Ron Gusek: Thanks.
Operator: Thank you. Next question, Taylor Zurcher of Tudor, Pickering, Holt. Please go ahead.
Taylor Zurcher: Hey, Chris, and team, thanks for taking my question. My first ones, I just wanted to circle back on the CapEx budget specifically the growth capital piece, I think you said $225 million. So as of today, you’ve got 2 full fleets of digiFrac, I guess, long-term contracts secured already. So clearly, that’s in the budget, on the growth side for 2022. And just hoping you could give us maybe some building blocks as it relates to build enough to that $225 million feels to me like, obviously, you’ll have some Tier IV DGB. But maybe you have some more digiFrac budgeted in there. So just curious, how you’re thinking about the building blocks behind that $225 million number.
Michael Stock: Yeah, the last portion of that, the large biggest portion is digiFrac, obviously, the next portion is the Tier IV upgrading 2 fleets of tier 2 to tier 4, and some work that was being done moving those suppliers. Wet sand technology that significant chunk of that is we’re supporting the growth of the PropX business and their customers did, which are going to be great returns on that business that’s another chunk of what we’re doing. There’s a little bit there and more probably $20 million to $30 million of what I would just say short-term margin enhancement projects, which are key things. Everything from model lines to fixed balls, so a number of other items that we’re doing that have a very quick payback and sort of short-term effects on margins. That’s a big item.
Taylor Zurcher: Okay. Got it. And just wanted to follow-up on the anecdote you gave about a legacy OneStim contract it from what I gleaned didn’t have inflationary escalator clauses and resulted in a $5 million negative impact in Q4. So just to clarify, as we progress forward as that contract, then sort of reset here in Q1 such that you’re able to pass through some of these input cost items on to the customer. And as you look at your broad portfolio of contracts, whether legacy Liberty or legacy OneStim, do you have any more outstanding contract cases that are similar to that one, that you called out where inflationary items might be an issue for you moving forward?
Michael Stock: So one of them is really going to be a little bit of – then one will still be a little bit of a drag in Q1, we fixed after that, and then really even last one that was left. I think some of those, again, I think, some historical contracts that the way they contract is we’re probably okay in a down market than when things are going down. They’re really turned around, and became quite a needless in the inflationary environment. So yeah, generally, new contracts historically have been little more flexible on the openness, we sort of work with customers on basically up and down cycles. We have established a historically had a couple more that were more fixed in nature. And that was just something that had to be worked through overtime.
Taylor Zurcher: Understood. Thanks, Michael.
Operator: Thank you. Next question come from Tom Curran of Seaport Research Partners. Please go ahead.
Tom Curran: Good morning.
Chris Wright: Good morning.
Tom Curran: Ron, on Project 1440, would you please update us on the act of fleets average pumping time utilization, so relative to that project starting point of 60%? Where did average pumping time come in for 4Q and what’s your target level for 4Q of this year? Where would you like to exit the year end?
Ron Gusek: Look, probably won’t get into specifics there. But you did hear in our, Chris’s comments, I think the latest of the record, so 75 hours of continuous pumping, we continue to make tremendous headway from an efficiency standpoint out in the field. And look forward to some additional progress there. We have a few other initiatives underway this year, that will further contribute to that if we’re successful, getting them across the finish line. But we certainly did make progress. Last year, we see some more opportunities just this year and know that it remains a focus of ours.
Tom Curran: And then, given the expected enduring tightness here in the fleet labor market and its associated upward pressure on wages. Are you seeing, are you expect any acceleration of spread automation initiatives? Be it internally at Liberty or perhaps elsewhere within the industry or at a smart robotic startup that you’re watching?
Chris Wright: Yeah, we will give – specific there but absolutely automation for efficiency of labor use for safety, for speed of operations is a focus at Liberty.
Ron Gusek: The only thing I would add to that maybe is, it’s certainly one of the things we’re most excited about as we move towards digiFrac, those opportunities are not insignificant in the diesel and dual fuel world. But the opportunities that come with moving to electric fleet are another step forward yet so quite excited about the opportunity to get digiFrac installed in the field and move forward with the level of automation that we could attain in that environment.
Tom Curran: Got it. So more of a e-frac transition technology development, okay. And then…
Ron Gusek: It will – but greatest upside in the e-frac side, but it’s across the portfolio.
Tom Curran: Got it. And then just 2 questions on the Permian. First, are you seeing any rivals starting to pull out or shrink the size of their footprint there perhaps by closing a district yard or two? And then, we understand that a pioneer may soon be in the market looking to replace some of its spreads on contract. Do you expect to have a shot at those?
Chris Wright: I mean, those are detailed commercial things. So, yeah, I’m not going to comment on those. But…
Tom Curran: All right. Well, thanks…
Chris Wright: You bet.
Tom Curran: I had to try. Thanks for taking my questions.
Operator: Thank you. Our next question will come from John Daniel with Daniel Energy Partners. Please go ahead.
John Daniel: Hi, gentlemen, thanks for squeezing me in. Chris, earlier in your commentary you talked about many mines being game changing. Can you just elaborate on how many you see and how you see that market developing?
Chris Wright: There’s a few operating right now that are customers of ours. And there’s certainly more opportunities for that. So it’s not an explosion. It’s a combination of meeting mine technology and the transport and wet sand technology. So it’s an evolution that we think has a good runway to bring differential costs and ESG advantages to customers willing to make that commitment and geographically position.
John Daniel: Do you see yourself developing your own mini mines or just let the others do that?
Chris Wright: Yeah, if we have the technology to move wet sand and partnerships, we’re going to enable the growth of many mines is maybe the best way to say that.
John Daniel: Okay. And then in response to Ian’s questions on, you cited the longer term contracts, is that just on digiFrac’s out on traditional equipment?
Chris Wright: It’s on both?
John Daniel: Are any of the terms greater than one year on the traditional can you say?
Chris Wright: Yes.
John Daniel: Yeah, okay. Thank you. And then the last one is, you called out and congratulations on the record safety performance, which has occurred given in light of a sharp ramp and activity, and also given that a major integration. So it’s pretty impressive. I’m just curious if you attribute that to any one specific initiative like what allows you to do that in light of two things of different lease?
Chris Wright: I don’t know that there’s one specific initiative we would call out, John. I think that’s credit to 2 very strong teams of operational personnel that came together with a commitment to number one provide great services to our customers out there in the field. And then number two, to do that as safely as possible. We probably did benefit from the ability to return to some initiatives we did have in place pre-COVID. We had an initiative to put a safety trailer out there in the field to get out face to face with our teams on a regular basis and highlights opportunities for focus. We, of course, had to put that on, this is going through 2020. But initiatives like that some of those things were able to come back last year. And so I think those things always help, but I wouldn’t call out any one thing that got us to that spot.
John Daniel: Okay, fair enough. Thank you for letting me ask few questions.
Chris Wright: Thanks, John.
Operator: Thank you. Next question will be from Keith Mackey with RBC Capital Markets. Please go ahead.
Keith Mackey: Hi, good morning, and thanks for taking my questions. See certainly I have gone through a pretty big year of transformative M&A and bolted on the PropX deal as well as talked about some of your internal initiatives with the logistics control center and that kind of stuff. Just curious if there’s any other areas along the supply chain where you feel that you need to focus on as well whether it be organic or inorganic?
Ron Gusek: Yeah, I think probably our biggest focus this year will still be in the pump vertical. So specifically to our   that has been a challenging part of the supply chain, certainly over the last year, and so it’ll be an area of focus going forward. It’s obviously a huge part of our R&M span, specifically the pump maintenance side of things valve seats, fluid and power in. And so that would be a big area of focus for us this year.
Keith Mackey: Got it. Thanks, Ron. And thank you for the CapEx guidance, and apologies if I had missed it, but for the growth CapEx. How many digiFrac fleet does that include? And then how many will you have running at the end of the year assuming you put those into the field?
Michael Stock: It was going to under contract, so yeah, the two that are kind of currently committed, and then we’re discussions with customers about it.
Keith Mackey: Okay, thanks very much.
Chris Wright: Thanks, Keith.
Operator: Thank you. Next question   of Morgan Stanley. Please go ahead.
Unidentified Analyst: Thanks. Good morning. So just a follow-up on pricing. And I wanted to ask, if you guys are kind of seeing a range of customer receptivity to pricing increases or customers have kind of largely been amenable to pushing – you guys pushing that pricing? I guess, have you guys had to kind of reposition your customer base, your fleets among customers at all to kind of drive the net pricing improvements that you’re talking about? Thanks.
Chris Wright: Okay. Look, amenable, I don’t know if that’s the right word. Most everything we do with customers is quite synergistic. It’s about getting operation’s more efficient; operation’s safe; operation’s planned; frac design; strategic decisions about how to execute programs, the best – those are – most of our dialogues are partnership dialogues, but prices is one direction is good for one side, one direction is good for the other side. But I think people do get if you want a long-term partnership, in the COVID downturn, we did what it took to try and keep our customers going for work plans. We’ve worked with him in that respect. So but, nowadays that things have shifted the other way. But, yes, customers want the right partners. Of course, everyone wants the right partner at the most economical price possible. So for us, there’s efficiency drivers that we can do that help both of us. But price is a necessary part of returning our industry to help, and I think everyone gets that. So, yet, it’s an ongoing dialogue about the magnitude of the price. And whether it’s all in big one lump sum, or whether it’s a more gradual step up, and we’ve kind of pitiful.
Unidentified Analyst: Makes sense. Thanks. And then question on, I guess, kind of following up on the next generation fleet transition scenarios that you guys had laid out at your Investor Day last year. I’m wondering if you can kind of help us think about now that we’re through 2021. And you’ve kind of thought through your 2022 capital framework, how would you characterize where you’re at in kind of the to the higher case faster next gen transition scenario versus the slower transition scenarios that you laid out? Is it somewhere in between? Or is it kind of more tracking closer to one of those 2 scenarios? Thanks.
Chris Wright: Somewhere in between, it’s a very active dialogue with a number of parties. I think it’s not if we’re going to do something with them, it’s how we win. But, yeah, it’s got to make sense. It’s got to make sense for both parties, for us, not just for returns balance sheet, corporate funding of it. For customers, it’s got to make sense to, and we’re not in a rush, we’re rolling out a new technology that, frankly, we think is going to be a pretty big deal. So it’s a balance of a lot of factors. But I would say things are going as planned.
Unidentified Analyst: Great. Thanks for the color.
Operator: Thank you.  Next question comes from Marc Bianchi of Cowen. Please go ahead.
Marc Bianchi: Hey, thanks. Good morning, guys. I wanted to ask about other cash items just building off of the CapEx for this year. So for $300 million to $350 million, you mentioned the working cap earlier, I don’t know if I assume 50 million there maybe $15 million of interest based on the range here, it would appear you need to have kind of like high $300 million to over $400 million of EBITDA just to kind of get to the free cash positive. Is there anything I’m missing in that bridge, any extra cash coming in or other items that we should be considering?
Michael Stock: Yeah, I think, it really tells the majority of that, and I think the – we think of working capital will build – will become a build or a either use or a provider of cash. So we think about the free cash flow numbers, really thinking about operational returns, right, sort of EBITDA with CapEx ain’t covering interest, when I spoke to the fleet that everything that really characterize the capital building for this class.
Marc Bianchi: Okay. And from what it sounds like just based on the trajectory into the first quarter and first half here, with the integration and stuff you you’d be below consensus, as it stands right now, in the first and the second quarter, and probably above consensus, just to get to those types of numbers, who we’re talking about in the second half for the year. It’s a pretty big ramp. I don’t know if you disagree with that kind of trajectory. But what investors may be skeptical of that type of ramp, I’m curious what you can tell them to get them more confident in the ability to get there. And will we see any evidence of that? Are we just going to have to wait till second half when you deliver on the results?
Michael Stock: Yeah, Marc. Not a comment on consensus, right? I don’t have a copy of your models and sort of how you guys are running, where those are. So, yeah, I mean, I think it we’ve sort of laid out what were our expectations for the year. And I think in general, we’ve had to go long-term history of delivery. But I think that’s, as you say, I think we’re going to see a ramp up as we roll off the integration costs, we’ll see if they can be the second half of your first half, and that’s really the guidance that we gave them.
Marc Bianchi: Okay, super. Just one last one, if I could, it looks like the implied EBITDA per fleet is kind of improving from a mid-single-digit number annualized to mid-double-digits, mid-teens or something by the second half. So, call it, $10 million of improvement throughout the year. I think you mentioned earlier, there’s combination of pricing and throughput in there. Could I just decomposed that a little bit more, is it kind of half pricing, half throughput, how much of that pricing is sort of already set in contracts versus how much you kind of need to get from further improvement in the market.
Michael Stock: Marc, every time probably you make, but I’m not sure I agree with it. All you’re giving up a fleet numbers are not getting those. I’m not sure we do it though. So we won’t comment on that. But as I say, as we go through the year, it’s going to be an increase in activity that’s going to come and probably the biggest force for is going to be the change in price when you look year-over-year change.
Marc Bianchi: Great. Thanks so much, Michael. Turn it back.
Michael Stock: Thanks.
Operator: Thank you. This concludes our question-and-answer session. Now I’ll turn the call back over to Mr. Chris Wright for closing remarks. Please go ahead.
Chris Wright: Thanks everyone for joining today and appreciate your interest, understand the critical comments. We feel good about where we are, we appreciate you partnership, and have a great day.
Operator: The conference is now concluded. Thank you for attending today’s presentation. You may now disconnect.